Operator: Good morning, and welcome to Macy's, Inc. First Quarter 2015 Earnings Release Conference Call. Today's conference is being recorded. I would now like to turn the call over to your host, Karen Hoguet. Please go ahead.
Karen M. Hoguet - Chief Financial Officer: Great. Thank you. Good morning and welcome to the Macy's conference call scheduled to discuss our first quarter earnings. I am Karen Hoguet, CFO of the company. Any transcription or other reproduction of the statements made in this call without our consent is prohibited. A replay of the call will be available on our website www.macysinc.com beginning approximately two hours after the call concludes. Please refer to the investor relations section of our website for discussion and reconciliations of any non-GAAP financial measures discussed this morning. Keep in mind that all forward-looking statements are subject to risks and uncertainties that could cause the company's actual results to differ materially from the expectations and assumptions mentioned today due to a variety of factors that affect the company, including the risks specified in the company's most recently filed form 10-K. While we expected both owned and owned plus licensed comp sales growth in the first quarter to be lower than the 2% guidance for the full year, our sales performance fell short of what we had expected. And as a result, so did our earnings. In speaking to our leadership group last week, Terry, our CEO, started his comments by saying, "I am disappointed but not discouraged." I think that sums up how we all feel. And given the confidence we have in our strategies and the fact that most of the factors contributing to our weaker sales are already behind us or will be shortly, we are still comfortable with our guidance for the full year. In addition to our earnings, we also announced this morning a 15% increase in our dividend, the quarterly dividend moving to $0.36 per share, and a $1.5 billion increase in our stock buyback authorization. This increase gives us a total authorization of approximately $2.1 billion as of the end of the first quarter. These moves are consistent with our ongoing approach for returning value to our shareholders. Sales in the quarter were $6.232 billion, 0.7% below last year or down 0.1% on a comp owned plus licensed basis. Total sales are being helped by the acquisition of Bluemercury, but that good news is being offset by store closings and lower revenue, as we transition away from supplying product to Aeropostale. As we look at the key factors negatively impacting our sales in the quarter, we would highlight the following five. First, international tourism. With the strong dollar, our sales from international tourists are down significantly. Because of our strong flagship stores in key tourist markets like Manhattan, Las Vegas, San Francisco, and Chicago, this has had a big impact on our overall sales. We estimate that roughly 5% of our annual sales come from the international tourists, and our sales from these tourists were down double-digits in the quarter. We estimate that this negatively impacted our comp growth in the first quarter by about one full percentage point. And unfortunately, this impact will likely stay with us at least through the summer vacation period. The second factor I would highlight is what we call the learning curve. As you know, we reorganized our merchandising, planning, and marketing functions at both Macy's and Bloomingdale's at the start of the year to maximize our omnichannel opportunities. We did this to accelerate growth, and we are confident that we made the right changes, but there is clearly a learning curve, and it is steeper than we had expected. We are hopeful that as the year progresses this new organization structure will enable our teams to positively impact our results. This would be consistent with what we experienced in the merchandise categories where we tested this approach last year. The third factor is the slowdown in the West Coast ports. This disruption in our receipt flow impacted sales throughout the quarter. Early in the quarter, we felt the absence of fresh fashion on our floors, and at the end of the quarter our customers missed the deep markdowns that would've been taken in prior years, but hadn't yet been taken this year because the shipments had just arrived. From a sales perspective, this should be behind us. The fourth factor is growth in general merchandise, apparel and furniture, GAF sales, as we call it, which are our lines of business, was slower than we had expected during the quarter. The fifth factor, which we've all talked about, would be weather. Clearly, this played a role with the unseasonably cold start to the quarter. And in addition to these five, what I would call overall trends, we also experienced weak sales in some categories including fashion jewelry and watches, tabletop and housewares. While we were disappointed with our sales, there were some successes and strong trends in the quarter that deserve mention. First and foremost, digital growth continued very strong in spite of the factors mentioned above. Also, there were some categories of goods, most notably active, dresses, furniture, and mattresses were all very strong. And also, the launch of our Thalia new private brand was a huge success. We are very excited by the potential for this multi-category new brand. As you know, the brand was designed for and aimed at the Latina customer, but it is clearly having resonance with a much broader customer set. And also geographically the southern markets continue to perform relatively better than the north. Average unit retail in the quarter was up 1.4% with units per transaction down 1.2% and the number of transactions down just slightly. The AUR increase was actually a function of mix with our regular-priced business trending better than clearance, and also, our clearance AURs were higher than a year ago. Gross margin rate in the quarter was 39%, up 10 basis points over last year. And our merchandise margin was actually up 20 basis points over last year. We are very pleased with this performance, although in part it was favorably impacted by the delay in the receipt of the spring goods from the port slowdown, which will negatively impact our second quarter gross margin rate. Inventory at the end of the quarter was up 2.7% over a year ago, which obviously was higher than we had expected due in part, again, to the port slowdown but also due to the weaker than expected sales. SG&A in the quarter was $2,023 million up 1.2% over last year. It actually isn't a big increase in dollars, but because of the lower sales, as a percent of sales expense was up 60 basis points over last year in the quarter. In spite of the expense benefits from the restructuring that we did at year-end, we were not able to flex expense down sufficiently in light of the sales shortfall. This is largely due to the fact that the first quarter is a low volume quarter, and therefore, making it a tough quarter to reduce expense. Depreciation and amortization in the quarter was $6 million higher than last year. Credit income in the quarter contributed $179 million of EBIT, or $8 million above a year ago, and retirement expense was $21 million, $2 million higher than last year. Operating income in the quarter was $409 million, $34 million below a year ago, and as a percent of sales 50 basis points below last year. Interest expense was $95 million, $5 million lower than a year ago. Taxes were $121 million, essentially flat to last year in dollars. However, the effective tax rate was 38.5%, 380 basis points up from last year's rate. Last year, we did benefit from settlements in the first quarter, and for the full year, though, we still expect the effective tax rate to be approximately 37%. Net income was $193 million, $31 million below a year ago. Average share count was 346.5 million shares, 7% below last year. And as you saw, the earnings per share on a diluted basis was $0.56, down 7% from last year's $0.60. Cash flow from operating activities, and after investing activities, was a use of $328 million. This did include $212 million for the Bluemercury acquisition. So excluding the acquisition, cash flow on this basis was an outflow of $116 million, which is approximately $106 million worse than a year ago. This is due to $31 million lower net income, $80 million more inventory net of payables, $43 million of higher capital spending, a higher 401(k) contribution with our new retirement plan, and these increases were partially offset by the release of escrow from some of last year's asset sales. Also, during the quarter we utilized $385 million to buy back 5.9 million shares. As I said earlier, we are disappointed with the quarter, but are encouraged by our prospects, especially for the back half of the year and beyond. Our M.O.M. strategies are still core to what we are doing: My Macy's, Omnichannel and Magic Selling. And we will continue to make progress on all three of these key strategies. In addition, there's some new initiatives about which we're very excited. The following are seven of these initiatives. First, the acquisition of Bluemercury and its impact on our overall Beauty business. We believe it will contribute both to our growth and earnings going forward. We're excited by the prospects for increasing the number of free-standing stores as well as comp growth in the Bluemercury stores, e-commerce and the addition of shops within the Macy's stores. At the start of this year, there were 59 Bluemercury locations. Today, there are 63 stores open, and we expect to open 14 more by year-end. We are also developing plans to maximize their e-commerce business utilizing our omnichannel capabilities, and we expect to open approximately five shops within Macy's stores over the next nine months, with a few opening this fall so we can start testing various concepts. The Bluemercury approach to the Beauty category is opening our eyes to new strategies and tactics, which could actually help us grow our overall beauty business beyond their own operation. The second key initiative is Plenti. Our new loyalty program Plenti was launched on May 4. It is the first U.S. loyalty coalition involving major U.S. brands. It offers consumers everyday opportunity to earn and redeem points with much choice. Plenti offers opportunities to both incent our current customers to buy more and also to bring new customers into Macy's who enter the Plenti program through the other participating brands. In the first week, we have already enrolled more than 2 million customers at Macy's, which is well ahead of expectations. We are very pleased with early customer response and interest as well as our store team's terrific execution. The third initiative I'd highlight is that we are developing strategies to focus on our top 150 doors, and especially what we call our 30 platinum doors – our very best. These 150 doors and the 30 were selected based on numerous factors including the recent sales growth, external economic factors in their markets, customer service scores in these stores, as well as their profitability. We believe there is opportunity to elevate these stores further and accelerate their growth and hopefully we will begin to see the benefit this fall particularly in the fourth quarter. The fourth key initiative is what we call All Things Wedding. Macy's and Bloomingdale's have always been known for our gift registries, but the truth is we have an enormous opportunity to not only improve our wedding gift registry business, but also to strengthen, pull together, and market our complete offerings throughout our stores ranging from engagement rings to bridesmaid dresses to tuxedos, to cosmetics, et cetera, et cetera. Frankly, this initiative impacts almost every category in the store. And we believe it offers a great way to build ongoing loyalty with millennial customers. The fifth initiative is that we are focusing on some key categories where we see outside growth opportunities. A few of these would include active, dresses and jewelry. Our efforts for these categories vary, but they all include not only having the right product but also having the right selling models as well as marketing strategies. The sixth key initiative, which you heard a lot about last week, is Macy's Backstage. We don't have anything new to report since the press release, but as you might imagine, we're all very excited about the potential for this new initiative. We believe that these stores will help us increase our share of wallet with existing Macy's customers as well as bring new faces into Macy's stores. And the last initiative is international. There are numerous third parties approaching us about potential partnerships overseas, but we aren't far enough along in our work to discuss these yet. We are excited, as you might imagine, to further build on the strength of our Macy's and Bloomingdale's brands in other key countries and markets. There is a lot going on, and our talented, dedicated and, I might add, competitive organization is working very hard to accelerate our sales growth while maintaining our profitability. As I said earlier, we still believe the right expectation for 2015 is approximately 2% owned plus licensed comp sales growth and approximately 1% total sales growth. But it will be more back-end loaded than we initially expected. And while we expect the second quarter comp owned plus licensed sales growth to be positive, we do not expect it to reach the 2% annual guidance. In terms of earnings, we are still expecting $4.70 to $4.80 per share in annual earnings on a diluted basis. But in the second quarter, we are expecting our earnings per share to be below last year. One of the hallmarks of Macy's, Inc. in recent years has been our ability to overcome obstacles and succeed despite a variety of challenges and macroeconomic factors. In a lot of ways we did have the deck stacked against us in the first quarter. These included the external factors I mentioned, such as weather, port bottlenecks, the value of the dollar, and a sawtooth economy. There were also internal factors, such as the impact of our omnichannel reorganization, which we believe caused some inadvertent but short-term disruption. While we are disappointed in our first quarter results, we are not discouraged. We see some of the first quarter obstacles disappearing and some of our new initiatives beginning to gain traction. Our style is not to make excuses but to take action. With today's consumer having so many choices for shopping and buying, both Macy's and Bloomingdale's continue to put in place new growth strategies on every front, both organically and in pursuit of bold, new ideas. Not everything we are doing will pan out, nor should it, but we know the value of testing, learning, and taking successful ideas to scale very quickly. We remain fully committed to the new stage of growth we introduced to you in February. We expect to continue to grow comp sales and earnings per share in the full year 2015 consistent with our guidance, and we are more excited than ever about the new ideas that will unfold in the years ahead. Let's now open the floor for your questions.
Operator: Thank you. . We'll go first to Charles Grom from Sterne Agee.
Charles Grom - Sterne, Agee & Leach, Inc.: Hi. Good morning, Karen. Just on the guidance of $4.70 to $4.80, any meaningful changes to the six or seven factors that you outlined in your February call both on the gross line or SG&A line, buybacks, et cetera?
Karen M. Hoguet - Chief Financial Officer: No, I don't think so. I just think, again, the timing by quarter will vary.
Charles Grom - Sterne, Agee & Leach, Inc.: Okay, great. And then in order to get to that 2% comp hurdle for the year, trends need to get, as you mentioned, a lot better, particularly against tougher compares in the second and fourth quarter. Could you just walk us through a couple of the drivers that make you comfortable hitting that number, particularly if the second quarter is expected to be sub 2%, but a little bit above zero?
Karen M. Hoguet - Chief Financial Officer: Yeah. I mean, I think if you think about the first quarter, the weather is, obviously, better and the port slowdown will be behind us. The hope is that the disruption from the new omnichannel restructure is lessening as we get into the second quarter. What will continue with us is likely the impact of the strong dollar on the international tourists. Hopefully, as we get through fall that will begin to improve. But, I think what makes me most excited about the fall is when we look back at the areas that we tested last year with the single view of inventory and viewing omnichannel across the organization. By the fall of last year we began to see big improvement, and I think the same thing should happen this year. And so, I'm actually quite optimistic about that as we get into the fall season.
Charles Grom - Sterne, Agee & Leach, Inc.: Okay. And then just last question. Obviously, gross margin is much better than you would expect on that type of comp. Any thoughts on the promotional backdrop today? Are you seeing any unusual activity from your peers?
Karen M. Hoguet - Chief Financial Officer: Well, I mean, yeah, obviously, we are, particularly in the upscale world. But remember also, I said that the second quarter gross margin is going to have the impact of some of the delay of the markdowns on the goods that were received late in the first quarter. So while we're very pleased with the first quarter, the second quarter may not be as good and the two will equalize together.
Charles Grom - Sterne, Agee & Leach, Inc.: And that's a major factor on why you expect earnings to be down a little bit relative to last year?
Karen M. Hoguet - Chief Financial Officer: Yes.
Charles Grom - Sterne, Agee & Leach, Inc.: Okay. Great. All right, thanks, Karen. Good luck.
Karen M. Hoguet - Chief Financial Officer: Thanks, Chuck.
Operator: We'll go next to Oliver Chen from Cowen & Company.
Oliver Chen - Cowen & Co. LLC: Hi, thanks. Thanks, Karen. The Plenti loyalty program sounds pretty awesome in terms of the potential here. Do you expect this to have a back-half impact in terms of the timing at which this may occur? And given that you are mildly more inventoried than you'd like, what gave you the confidence to kind of maintain your full-year outlook as you look towards the back half?
Karen M. Hoguet - Chief Financial Officer: Well, remember the second quarter gross margin I said will be pressured, and part of that is a result of the inventory being high at the end of the first quarter. But that will be behind us as we go to the fall season. In terms of Plenti, people here are betting on when we're going to see the impact. I think most of the knowledgeable people think it's likely to be spring 2016, because it will take customers time to start building points and really understanding the strength of the program. Frankly, that would be consistent with what we saw with Bloomingdale's when we rolled out the Loyallist program. It does take customers a while to understand these new programs, but hopefully it will help the back half. But we're not counting on that.
Oliver Chen - Cowen & Co. LLC: Okay, Karen, and our final question is on the top 150 doors. It sounds like a shrewd prioritization. What's the nature of the lower hanging fruit in terms of the changes that you envision, whether it be different allocation of floor space or selling techniques? Just more color there would be appreciated.
Karen M. Hoguet - Chief Financial Officer: Yeah, I mean, it's really, we're looking at the story holistically. So it will be some shift of space. There will be some new brands brought in. It will be places where we can elevate the assortment consistent with the customers in those stores. But if you think about it, the top malls in the country are doing extraordinarily well, as are we, but we think we can actually push that growth farther.
Oliver Chen - Cowen & Co. LLC: Okay. And we do believe your learning curve program makes sense in terms of how you characterize that. As we do look forward, which aspects of that are the most near term, in terms of the improvement opportunity as your organization gets more integrated?
Karen M. Hoguet - Chief Financial Officer: I think the key issue will be understanding inventory allocation and how to think about putting inventory in stores versus warehouses. And we're trying hard to make sure that our best-selling styles are everywhere and an increasing the congruency. And I'm trying not to get into technical retail speak, but it will help, we think, enormously to have inventory in the right places. And I think it will take a few months for that new organization to figure out how to do this. But I think the sales opportunity is tremendous.
Oliver Chen - Cowen & Co. LLC: Thank you. Best regards.
Karen M. Hoguet - Chief Financial Officer: Thanks, Oliver.
Operator: We'll go next to Kimberly Greenberger of Morgan Stanley.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Great. Thank you so much, Karen. Karen, the question we're getting most often from investors here over the first three months of the year is around your real estate strategy. And I'm wondering if you can just articulate how you're thinking about Macy's real estate as an asset. Are you, at this point, contemplating any sort of strategy around the value of your real estate and, if not, is there something that may happen over time that could cause you to change your mind?
Karen M. Hoguet - Chief Financial Officer: Well, when it comes to real estate, the first thing I would say is this is far more complicated than what most people think. And some of the estimates of value in our real estate, I think, have been done overly simplistically. Having said that, as you might imagine, we are studying closely with our key banking partners all the various transactions that have happened lately and all the possible strategies, the pros, the cons of how you would do it, et cetera, et cetera, to see what's right for us. Our objective is always to maximize value. And up until now, we haven't seen an opportunity that made sense in terms of a global strategy. Now keep in mind, over the last couple of years you have seen us monetize some of our real estate, frankly not with our worst-performing stores. So examples would be last year Sunnyvale and Cupertino in Northern California, where we did take advantage of a disconnect between the value of real estate and the value of the retail entity. And we are continuing to study many opportunities like that within the portfolio. So I would say obviously we're studying everything, and if something would make sense, we obviously would do it. So that's the only way to answer it, Kimberly. But we are staying close to the subject, because like you, we're getting the question also.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Great. Thank you so much, Karen.
Operator: We'll go next to Paul Trussell of Deutsche Bank.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Good morning, Karen. The breakdown of the comp, you mentioned that AUR was up a bit, UPT down. Just wondering how do you expect that to trend as we move forward, particularly in the second quarter? And then how you kind of make up the composition of the 2% full-year comp?
Karen M. Hoguet - Chief Financial Officer: As I have said repeatedly, that is an impossible number to forecast. There are so many factors that go into it, so I don't know how to begin to answer that question.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Got it. And then when we think about the smaller store concepts, both the Macy's Backstage, as well as Bluemercury, can you help us out with any thoughts around store count opportunity longer term or productivity and profitability metrics?
Karen M. Hoguet - Chief Financial Officer: Well, if you look at Bluemercury, obviously if you look at Sephora or ULTA, we're currently sitting at 63 stores. You can see the enormous opportunity in free-standing stores. So I can't give you a specific number, but it's enormous. Also, obviously, the opportunity to go in the best Macy's stores is huge as well. And you add on e-commerce growth; we're very encouraged by that, but I can't give you any specific numbers. As to Backstage, again, we're just testing this fall. If it works well, again, the opportunity is huge, but that one we have to pilot it before I could begin to give you any insight as to what that strategy may mean.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Got it. Thank you.
Operator: We'll go next to Matthew Boss with JPMorgan.
Matthew Robert Boss - JPMorgan Securities LLC: Hey, Karen. So from a top-line standpoint, if you parsed out tourism and some of the weather impact, what categories do you think account for the trajectory change that we've seen from the 3 to 5 comps we were running from 2010 to 2012 versus today's reduced level?
Karen M. Hoguet - Chief Financial Officer: I don't think it's a category change. I think it's sort of the overall level. I mean, there's ups and downs within categories, but there really hasn't been any dramatic shift broadly based.
Matthew Robert Boss - JPMorgan Securities LLC: Okay. And then even to break that down a little further, I mean, what do you think of the health of Center Core? Any changes? I know you mentioned watches and some shifts maybe in jewelry, but any slowing or shifting of drivers worth noting?
Karen M. Hoguet - Chief Financial Officer: It's hard to know right now. Obviously, I called out the fashion jewelry and watch business being slow, and that's a part of Center Core. We were up against some major handbag promotions in the first quarter, so it's kind of hard to read until we get through that, what's happening there. But that growth continues to be very strong, absent the impact of that promotion. Shoes has done well, Beauty is doing quite well, fragrances, in particular, is very strong. So hopefully there's no major change in Center Core as the total. And, again, we're looking for ways of offsetting that jewelry/watch slowdown. That would be the only call out. But then usually other opportunities pop.
Matthew Robert Boss - JPMorgan Securities LLC: Okay, great. Best of luck.
Operator: We'll go next to Matt McGinley from Evercore ISI.
Matt McGinley - Evercore ISI: Good morning. My first question is on the free cash flow generation. The first quarter is always a little bit choppy in terms of how you generate cash, but this quarter had a bigger investment in inventory as it related to the port issues. So my question is does that working capital investment normalize over the year or should we expect that overall it would be an inventory investment over the course of the year?
Karen M. Hoguet - Chief Financial Officer: Yeah. So it will normalize. I mean, as I said, the inventory was a little high at the end of the first quarter but that will normalize.
Matt McGinley - Evercore ISI: Great. My second question is a follow-up on the tourism spending. I'm thinking about this from a historical standpoint. How does that tourism spending typically snap back after a weak period in the past? Is that driver mostly FX or do the stores that are more tourist-dependent tend to recover as you get into a more tourist heavy season like the summer?
Karen M. Hoguet - Chief Financial Officer: I'll be honest I have not looked at that. I can't remember a time where it feels as bad in those stores, but I may be wrong, and it's a good suggestion. We'll do that.
Matt McGinley - Evercore ISI: Okay, thank you.
Karen M. Hoguet - Chief Financial Officer: So, I'll let you know after we've done it. Yeah, I can't remember it, and maybe I should – I'm not sure. Let me look at it and we'll let you know.
Matt McGinley - Evercore ISI: Sounds good. Thank you.
Operator: We'll go next to Paul Swinand of Morningstar, Inc.
Paul Swinand - Morningstar Research: Good morning. Just wanted to maybe follow up on Paul's question about the units per transaction. Is it that people are being more careful? Is there any read-through into the environment or maybe is it just the tourism effect or the port squeeze effect having fewer goods available or people that aren't sort of stocking up? Is there any way you can comment on that color?
Karen M. Hoguet - Chief Financial Officer: Well, as I said, when you look at the AUR, part of it was mix, and the regular price was doing better. And we typically sell fewer units per transaction with regular price. So, I have a feeling the first quarter may be distorted because of the port situation and we ought to wait and see the second quarter before we make too much of it.
Paul Swinand - Morningstar Research: Got it. So regular price up, but maybe just the takeout of the markdowns lowered the units per transaction?
Karen M. Hoguet - Chief Financial Officer: That's correct.
Paul Swinand - Morningstar Research: Okay.
Karen M. Hoguet - Chief Financial Officer: If we know – If we know it positively impacted the AUR, so it would have made sense that it would do the opposite on the UPT.
Paul Swinand - Morningstar Research: Got it. Thanks. And then just wanted to drill down a little bit also in the – again, a follow up on the other question, but with watches and Center Core. Is it tough comparisons from individual brands and promotions from brands, or is it pretty widespread across the different brands being down in any color on why you think that might be besides the promotions?
Karen M. Hoguet - Chief Financial Officer: I have not looked at it brand by brand, so I'm not sure how to answer that. Sorry.
Paul Swinand - Morningstar Research: Okay. Thanks.
Operator: We'll go next to Todd Duvick of Wells Fargo.
Todd Duvick - Wells Fargo Securities LLC: Hi, Karen.
Karen M. Hoguet - Chief Financial Officer: Hi.
Todd Duvick - Wells Fargo Securities LLC: My question pertains to share repurchase expectations. The past couple of years, you've managed your balance sheet to a lease adjusted leverage range of 2.4 times to 2.7 times. And I calculate you are slightly below that range right now. So as you consider the pace of share buybacks going forward, should we expect that pace to be governed by the upper end of your leverage range?
Karen M. Hoguet - Chief Financial Officer: Yeah, I mean, we – yes, I think is the easy answer. We aim for the 2.4 times to 2.7 times, so yes.
Todd Duvick - Wells Fargo Securities LLC: Okay. Okay. That's it for me. Thank you.
Operator: We'll go next to Jeff Stein of Northcoast Research.
Jeff S. Stein - Northcoast Research Partners LLC: Good morning, Karen. A couple of questions. Besides the top-line acceleration that you are hoping for in the back half of the year, are you assuming any incremental expense cuts to stay in that $4.70 to $4.80 guidance range you've provided?
Karen M. Hoguet - Chief Financial Officer: No. I mean, we always are doing what I would call expense management cuts, but nothing significant.
Jeff S. Stein - Northcoast Research Partners LLC: Okay. And with respect to the port delays, would you say that the vast majority of that is now behind us? And then taking a look at the delayed deliveries, I think you mentioned in your fourth-quarter call that something on the order of 12% of your receipts were running late. Was it primarily private-label brands or nationally branded goods? Because I presume that national brands coming in late, you might be able to return some of that merchandise. So how should we think about the mix of the merchandise that was delayed?
Karen M. Hoguet - Chief Financial Officer: I don't know the specific percentage breakdown, but, yes, a lot of it was private brands, but certainly not all.
Jeff S. Stein - Northcoast Research Partners LLC: Okay. And then final question, on the new loyalty program, have you done any research to understand how many of those sign-ups are already existing Macy's credit cardholders or customers?
Karen M. Hoguet - Chief Financial Officer: We are doing that, and I don't know the answer. And after one week it would be too early to tell you anyway. But, obviously, we're tracking that quite closely.
Jeff S. Stein - Northcoast Research Partners LLC: Okay. Thank you very much.
Operator: We'll go next to Bob Drbul of Nomura.
Bob S. Drbul - Nomura Securities International, Inc.: Hi, Karen. Good morning.
Karen M. Hoguet - Chief Financial Officer: Hi, Bob. Good morning.
Bob S. Drbul - Nomura Securities International, Inc.: Just had a couple questions. The first one is, on the inventory situation, are there areas in the store and throughout the business that are higher than others? And sort of how aggressive will you be in terms of getting it? And when you think about it on a monthly basis, do you think it will be throughout the whole quarter? Do you think you'll get it cleared up in June into July? Just give us an idea of how aggressive you...?
Karen M. Hoguet - Chief Financial Officer: Yeah, I mean, obviously, there are pockets where inventory is higher than others based on the port situation and also based on weakness in sales. And so, we have plans to make sure that we enter the third quarter fresh and we don't take forward any of this inventory. And again, remember, the comp expectations is 2 times. So while the inventory is higher than we expected, it's not that high.
Bob S. Drbul - Nomura Securities International, Inc.: Okay. And then did you quantify any impacts on the tourism piece? I guess just a couple questions. Can you give us just updated thoughts on how much of your business is susceptible to the tourism trends and comp trends in tourism-affected markets versus ones that are less affected by the tourism?
Karen M. Hoguet - Chief Financial Officer: Overall, it's about 5% of our sales, we think, comes from the international tourist. And so, as I said, we think it hurt our comps in the first quarter by a full percent.
Bob S. Drbul - Nomura Securities International, Inc.: And is that the expectation that you are holding in the full-year comp plan that you reiterated this morning?
Karen M. Hoguet - Chief Financial Officer: No. I mean, second quarter, yes, but as we go through the fall, we're hoping to begin to mitigate that somewhat. And as we get to the fourth quarter, it begins to year-round also.
Bob S. Drbul - Nomura Securities International, Inc.: Okay. And then, just a last question is, could you give us any updated thoughts on acquisitions, whether – do you think that the off-price piece is a potential area for acquisition? Or do you fully expect to do it sort of on a one-by-one store basis?
Karen M. Hoguet - Chief Financial Officer: We always look at buy versus build alternatives, and we'll continue to do so. In that case, we've got to test it and see what we think and decide, assuming the success is successful, what's the right way of scaling it quickly? And we'll look at anything.
Bob S. Drbul - Nomura Securities International, Inc.: Great. Thank you very much, Karen.
Karen M. Hoguet - Chief Financial Officer: Thanks Bob.
Operator: We'll go next to Stephen Grambling of Goldman Sachs.
Stephen W. Grambling - Goldman Sachs & Co.: Hi, Karen. Good morning. A couple of follow-ups actually on both those questions. But I guess the first would be, how does the tourist spend maybe vary by category? Did that drive any changes in the quarter among the strong and weak categories? And on a related note, how did the impact from tourism change relative to the fourth quarter?
Karen M. Hoguet - Chief Financial Officer: The second question is quite a bit. It almost doubled. So that was a big step-up in terms of the impact. By category, it's relatively spread through the store. I haven't really gone through and looked at it category by category. The merchants are doing that, but I don't know the answer to that.
Stephen W. Grambling - Goldman Sachs & Co.: Okay. And then I guess going back to the Backstage and off-price, and I realize that it is still early, but you did mention that scaling is a key competency. So can you talk about how maybe the off-price supply chain differs from your existing and is there any kind of investment that is already embedded in your plan as it relates to the supply chain for off-price?
Karen M. Hoguet - Chief Financial Officer: All that's in our plan right now is the test, and if it works, we'll obviously go from there. We've estimated what we think it would cost to build it out to scale, which is why we got so excited about testing it. But, until we test it and know, I think it's premature to talk about that.
Stephen W. Grambling - Goldman Sachs & Co.: Okay. And the last one, if I can squeeze it in, would just be on the non-top 150 stores, I mean, I guess what is the plan there? How has that changed as you're now reemphasizing the top 150? Thank you.
Karen M. Hoguet - Chief Financial Officer: We continue to focus on each and every store with a strategy that works in its local market and that's appropriate for it. Obviously, the elevation of assortments doesn't work in all markets. So we are focusing on those stores that have the greatest opportunity, as you might imagine. But, through My Macy's we've got strategies for each and every door.
Stephen W. Grambling - Goldman Sachs & Co.: Thanks so much.
Operator: We'll go next to Dana Telsey of Telsey Advisory Group.
Dana L. Telsey - Telsey Advisory Group LLC: Hi, Karen, how are you?
Karen M. Hoguet - Chief Financial Officer: Fine, how are you, Dana?
Dana L. Telsey - Telsey Advisory Group LLC: Good. Can you talk a little bit about marketing plans and how you see them for the remainder of the year? Is it skewed to the second half and what percentage of sales done on proprietary cards? Any change there? And just two last things, in Backstage, are there any brands that are in Macy's stores that you won't sale in Backstage and how is single view of inventory progressing? Thank you.
Karen M. Hoguet - Chief Financial Officer: Okay, that was too many for me to remember. Let me try one by one. If I miss one, tell me. Credit penetration was 44.9% in the quarter, up 20 basis points. So that is, obviously, good news. In terms of our marketing spend, obviously, with the omnichannel organization, we're thinking differently about how we spend digitally versus the traditional media. But, overall, I don't see any major change as we go through the remainder of the year. In terms of Backstage, the question was are there vendors we wouldn't sell there?
Dana L. Telsey - Telsey Advisory Group LLC: Yes, that are in full line that won't be in Backstage.
Karen M. Hoguet - Chief Financial Officer: Oh, I'm sure there will be. And I suspect there'll be vendors that aren't in full line that will be in Backstage; so I think it will go both ways.
Dana L. Telsey - Telsey Advisory Group LLC: Okay. And then, single view of inventory, how is that doing?
Karen M. Hoguet - Chief Financial Officer: Well, that's what I'm most excited about as we go to the fall season. And I do think it has caused some disruption in the beginning of the year as the new organization figured this out and figured out where to put inventory. I think it absolutely is going to give us a huge sales opportunity as we go forward.
Dana L. Telsey - Telsey Advisory Group LLC: Thank you.
Operator: We'll go next to Lorraine Hutchinson from Bank of America.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Thank you. Good morning, Karen.
Karen M. Hoguet - Chief Financial Officer: Good morning.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: I just wanted to follow up on Backstage. As you're testing it, how are you thinking about how much clearance you'll ship to the off-price channel versus maintaining the traffic flow that you get from clearance in your flagship stores?
Karen M. Hoguet - Chief Financial Officer: Yeah, I mean, it's a very good question. And, obviously, we're going to test different approaches. Interestingly, if you think about certainly the 30 platinum doors, it's very possible that clearance is taking up too much space, and it would be better cleared so that we could bring in fresh, more newness into the stores. So that may be where we take more of the clearance out than other stores that we think are more dependent on that traffic. So Peter and Vanessa and the team are going to test lots of things, and we'll learn more. But my suspicion is, to your point, we will take varying amounts of clearance out of different stores. And also, remember, we're not taking goods out until they are well down the markdown cycle. So it's not the early markdowns that will be taken out for off-price.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Right. And what are you hearing from your vendors about AURs in the second half? Cotton prices are obviously down. There are some offsets. Is there any change in strategy that you hear coming through the pipeline?
Karen M. Hoguet - Chief Financial Officer: I have not heard of any.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Thank you.
Karen M. Hoguet - Chief Financial Officer: Thanks.
Operator: We'll go next to Michael Exstein of Credit Suisse.
Michael Block Exstein - Credit Suisse Securities (USA) LLC (Broker): Thank you very much, Karen. Just a couple of quick questions. Number one, what sort of costs associated by the Bluemercury rollout and the off-price rollout are incorporated in the estimates that you talked about today? Number one. Number two, in spite of the port issues, you actually were able to lever your payables pretty nicely. I am just wondering was there some sort of change going on there because one would've thought that the payables may have backed up a little bit from that.
Karen M. Hoguet - Chief Financial Officer: Let me answer that one before I forget. That one's just timing, Michael.
Michael Block Exstein - Credit Suisse Securities (USA) LLC (Broker): Okay.
Karen M. Hoguet - Chief Financial Officer: So I don't think there's anything different there.
Michael Block Exstein - Credit Suisse Securities (USA) LLC (Broker): Okay. And then, how about the cost associated with the rollout of off-price and stuff like that?
Karen M. Hoguet - Chief Financial Officer: Yeah, I mean, that's all in the numbers. And as we've discussed, we're offsetting that as we aim to maintain the 14% EBITDA rate. For this year, we would expect Bluemercury to sort of be breakeven on the EPS line.
Michael Block Exstein - Credit Suisse Securities (USA) LLC (Broker): Okay.
Karen M. Hoguet - Chief Financial Officer: But, obviously, next year we hope that it will be additive. And, obviously, there are costs included in the SG&A, particularly as we go through the year associated with Backstage and also Bluemercury.
Michael Block Exstein - Credit Suisse Securities (USA) LLC (Broker): And then, finally, in terms of the Plenti loyalty program or rewards program, is that on top of the normal Macy's loyalty program so that you'll be layering loyalty programs on top of each other?
Karen M. Hoguet - Chief Financial Officer: No. The Star Rewards program will be merged into Plenti. So, we will still offer a lot of the coupons that we do for our credit card customers, but the actual rewards that we gave, roughly 1% is now being replaced by Plenti.
Michael Block Exstein - Credit Suisse Securities (USA) LLC (Broker): Okay, great. Thanks for the clarification. Good luck.
Karen M. Hoguet - Chief Financial Officer: Thanks, Michael.
Operator: We'll go next to David Glick of Buckingham Research.
David J. Glick - The Buckingham Research Group, Inc.: Yes, good morning. Thank you, Karen. Just two quick questions. Most of my questions have been answered. Just wondered in the first quarter whether there were any asset sales that impacted SG&A? I do see in other net line in the cash flows from investing activities. And then, secondly, I was just curious what that handbag promotion was last year that you did not repeat that would've impacted the business. Thanks.
Karen M. Hoguet - Chief Financial Officer: That I'm not going to comment on. But your first question is, there were asset sales but nothing material.
David J. Glick - The Buckingham Research Group, Inc.: Okay. Was that $70 million the release of reserves that you referred to earlier in the call?
Karen M. Hoguet - Chief Financial Officer: Yes. Yeah, it was less than that, but, yes.
David J. Glick - The Buckingham Research Group, Inc.: Okay. Thank you very much. Good luck.
Karen M. Hoguet - Chief Financial Officer: Thanks, David.
Operator: We'll go next to Priya Ohri-Gupta of Barclays.
Priya Joy Ohri-Gupta - Barclays Capital, Inc.: Good morning and thank you, Karen, for taking the question. I was just hoping you could provide a little bit of color around how you would think about your current credit rating as you're evaluating some of these real estate options. You've seen some cushion build with a couple of the rating agencies. Would you look to maintain current ratings at least a mid-BBB, or is it sort of just looking at staying investment grade overall? Thank you.
Karen M. Hoguet - Chief Financial Officer: We tend to focus on ratios rather than ratings, because I've learned over the years I can't control ratings, but ratios I have more control over. So, to the question asked earlier, the 2.4 times to 2.7 times feels like the right leverage ratio to be in. And we remain committed to that range.
Priya Joy Ohri-Gupta - Barclays Capital, Inc.: Great. Thank you so much.
Operator: We'll go next to Joan Payson of Barclays.
Joan Payson - Barclays Capital, Inc.: Hi. Good morning. Could you talk a little bit about how much of the $140 million of restructuring savings for this year fell into the first quarter, if that remains relatively consistent through the rest of the year and then also could we expect a similar level of asset sales for the full year this year that we saw last year?
Karen M. Hoguet - Chief Financial Officer: The first question is it would be a little less than the first quarter, and then relatively evenly Q2, Q3, and Q4 on the $140 million. In terms of asset sales, we're still working on some deals, but that would be our hope and expectation.
Joan Payson - Barclays Capital, Inc.: Great. Thank you, Karen.
Operator: At this time we have no further questions. I would like to turn the call back over to you.
Karen M. Hoguet - Chief Financial Officer: Great. Well, thanks everybody for your interest and your support. And obviously if you have further questions, you can call me, Matt, Sarah, Ryan, (51:20) whomever, and we'll do our best to try to get you the answers. Again, thanks.
Operator: That does conclude today's conference. We thank you for your participation.